Operator: Ladies and gentlemen, thank you for standing by and welcome to the Berkshire Grey Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to your speaker for today. Sara Buda, you may begin.
Sara Buda: Terrific. Thank you. Good morning, everybody and thank you for joining Berkshire Grey's fourth quarter and fiscal year 2021 earnings conference call. Earlier today, we issued a press release announcing our financial results. The release is available on our Investor Relations website at ir.berkshiregray.com. Leading today's discussion will be Berkshire Grey's Founder and Chief Executive Officer, Tom Wagner; and our Chief Financial Officer, Mark Fidler. Following management's prepared remarks, we will open up the call to questions. Before we get started, we'd like to inform you that certain statements made during this conference call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Future operating performance and financial results of the business may differ materially from those expressed or implied in any forward-looking statements provided on this conference call due to various risks and uncertainties. Information concerning these uncertainties and risk factors is contained in our filings with the SEC. Forward-looking statements including in this call are based on information currently available to us and represent the company's current view as of the date these statements are made. We do not commit to update these statements. As a reminder, we will be referring to some non-GAAP financial measures during today's call. A detailed reconciliation of GAAP and non-GAAP measures can be found in our earnings press release today which will be furnished to the SEC and is available now on our IR website. These non-GAAP measures are in addition and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP and should not be considered an alternative to any performance measure derived in accordance with GAAP. With that, I will now turn the call over to Tom Wagner, CEO.
Tom Wagner: Good morning and thank you, Sara. Given this is only our second earnings call as a public company, I'll start off with some context about who we are and where we're going. At Berkshire Grey we make industry-leading AI-enabled robotic systems that fill e-commerce and retail orders and handle e-commerce packages as they make their way to your door. We have developed breakthrough AI robotic technology that automates difficult and labor-intensive tasks within fulfillment operations, including picking, sorting, packing, moving and organizing. These are core functions that are found in almost every logistics operation and lead to a $280 billion addressable market for our products. Our technology is proven in production doing work and driving tangible returns for Fortune 100 customers. We secured repeat orders from every one of our anchor customers and are growing our new business pipeline as well. Now, let me get into some of the details of 2021 and the macro trends driving our growth in 2022 and beyond. 2021 was a strong year for Berkshire Grey with three main achievements. First, we delivered breakthrough robotic solutions for our customers, generating $51 million in revenue. Second, we secured $85 million in new orders, of which 75% were from anchor customers. Customers with repeat orders mean our technology is installed, in production, proven and delivers quantifiable value. We're part of our customers' automation strategies. Third, we doubled our pipeline, bringing it to $3.5 billion and double the number of new customers. Many of the new customers have the potential to become strategic long-term relationships with multiyear rollout plans for our products to be installed in facilities across their network. So 2021 was a watershed year for us and we took a huge step forward. We proved our commercial value proposition as evidenced by the substantive follow-on orders by our anchor customers, new orders from new logos and significant pipeline growth. All of this gives us even greater confidence in our long-term outlook than we had even six months ago. Our strong customer momentum is continuing into 2022. We started this year with $105 million in backlog which for us means signed contracts. Our revenue guidance for 2022 of approximately $90 million, indicates about 80% growth year-on-year. While the pace of deployments is a bit slower than we and our customers would like due to factors like customer supply chain delays. The commitment from our anchor customers is strong and our pipeline of new business is growing as anticipated. One of our most important messages for you today is that our customers find our technology and products highly effective and want more. Target featured us in their recent earnings call presentation showing videos of our robots moving and sorting their goods while they were talking about the need for them to invest in automation. Walmart recently invited us to display our technology at their exclusive annual kickoff meeting where executives showcased key technologies they believe are an important part of their growth strategy. FedEx has publicly talked about how our automated robotic package handling systems deliver value and are a potential fit for hundreds of their locations. Between increased appetite and visibility with anchor customers and the addition of new customers, our pipeline has doubled from early 2021 and stands today at $3.5 billion. We are currently in negotiations for large-scale strategic arrangements that if executed, will add even more energy to the system and help drive economies of scale and efficiency improvements. Our customers appreciate the value of these systems and the underlying technology and appreciate that they simply can't get it anywhere but Berkshire Grey. So, let me spend a few minutes talking about that technology. Our robotic products automate order fulfillment processes within a distribution center, warehouse, package handling facility and even back at store. If you could look into a typical warehouse operation, there are many steps that our systems can automate from when goods enter a warehouse until they depart in the form of filled orders. We pick, sort, pack, move and organize items. For example, picking items from inventory and packing them into boxes to fill e-commerce orders. Our picking items from inventory to build store resupply boxes which better enables stores to serve both in-person and e-commerce customers from the store. We're rapidly sorting ordered items preparatory to loading the loan trucks. Our products automate entire steps in the warehouse. The repeat orders from anchor customers indicate just how effective we are at automating these steps. Along the lines of automating steps, in 2021, we introduced four new products, one of which is a new configuration of our technologies tuned in size, shape and function for a step which is ubiquitous and e-commerce operations, put-wall sortation. Our robotic put-wall sorts e-commerce orders and increases throughput over 300% versus conventional solutions. This product is a drop-in replacement for conventional nonautomated equipment installs in little time requires little infrastructure on the part of the customer and works with our other products. Orders have already been received for this product and we expect more. Tick, sort, pack, move and organize is what our robotic systems do today and the put-wall follows this model. Our products are unique, highly technical modules that automate whole warehouse functions. This separates us both from component suppliers and systems integrators. Our products can be combined with each other to automate multiple steps in warehouse operations, for instance, chains of operations like picking, sortation, packing and movement, or our products can be used to automate a single step in the operation where multiple modules can provide new scale and increase throughput to that step. For instance, installing many robotic induction stations in parallel to provide high induction rates. We will continue to innovate our current products and we'll introduce new ones in areas where we have strength and differentiation. There are areas of warehouse operations today where complementary systems are sometimes used. ASRS or automated storage and retrieval systems are one such example. ASRS systems typically provide dense, long-term storage of inventory. For clarity, we don't need or require an ASRS system to produce value. We have installations today where no such system is present. However, we also have installations today and business in our pipeline where we pick, sort, pack and move out of multiple brands in ASRS to create new value for our customers. Of course, there are other complementary systems as well, such as warehouse management systems, traditional loop or unit orders and so forth, all of which we can interface with. To capitalize on the complementary nature of these systems, we are building strategic partnerships with systems integrators. Last week, we announced a new partnership with Swisslog, the leading integrator of auto store ASRS systems. In this partnership, we provide picking, sortation, packing and movement for ASRS installations. More importantly, through the full use of our product suite, the combined offerings of Swisslog and Berkshire Grey provide differentiated solutions in the marketplace. This partnership also provides us with another channel to market, access to new customers and it provides us with a strong partner to support the implementation of our systems. With this addition, our alliance program now includes more than 11 partners. This means more channels and strong support for the implementation of our systems which is becoming increasingly important as we scale. Partnerships are enabled by our proven products and the underlying technology. We're a leader on the technology front with protected competitive advantage. During 2021, our patent portfolio grew from 71 about a year ago to 120 today. These filings cover everything from picking systems to gripping systems to scanning systems that cover our mobile robots and even cover AI and machine learning, among others. We also have process patents that protect how our intelligent robots perform their functions. We've been developing technology since 2013 and we will continue to lead on this front. The most important part of technology, of course, is a customer see its value and understand its efficacy. We meet or exceed the performance characteristics that our customers need. The most clear endorsement of our technology is the repeat orders from our customers and the pipeline growth. The strong adoption of our technology is driven by the need of the industry to transform and automate. Strong macro trends and tailwinds are behind this transformation and align with our business. The acceleration of the shift to the digital economy is clear. Consumers want precisely what they want and they want it delivered as soon as possible. This puts tremendous pressure on retailers, e-commerce providers, logistics organizations and package handling companies and they all need to automate. Other macro trends include labor scarcity which means warehouse and logistics operations are often short staffed. Adding to this is the current climate of wage inflation which has driven up costs at the same time that retailers are working to be more competitive with each other and with Amazon. And of course, Amazon is highly automated. At Berkshire Grey, these trends reinforce the need for new automation that picks, sorts, packs, moves and organizes goods and packages. Overall, we at Berkshire Grey are well positioned for continued growth. Our technology and team are industry-leading. We have strong macro tailwinds driven by the shift in consumer behavior and labor scarcity. We have unique and differentiated products that are proven and in operation with Fortune 100 customers. We love our technology and want more. We doubled our pipeline with our anchor customers and new accounts and are in negotiations for large-scale strategic arrangements that could add even more energy to the system. We continue to forge strategic partnerships with some of the most respected companies in our industry. We're at the early stages of our growth and are building a business for the long term. Because of continued insight from our customers and material pipeline activity, we have even more conviction now about the growth opportunity we have in front of us today as we build a profitable $1 billion company. Mark will now go into some of the details regarding our 2021 results and our outlook for 2022. Mark, over to you.
Mark Fidler: Thanks, Tom and good morning, everyone. I'd like to start off by providing some more detail around the substantial commercial progress we made in 2021. From there, I'll provide some context on our priorities for this year as well as from perspective on 2022. First, I'd like to talk about orders and opportunity. As of the end of 2021, our total orders to date were $200 million and we had backlog of $105 million which we define as signed contracts with systems yet to be delivered and installed. These are impressive numbers considering we didn't expand our commercial efforts until 2020. In 2021, we added about $85 million in orders, of which 75% were from our anchor customers and all of which represented follow-on orders which is proof that our customers truly value our technology and want more. As Tom indicated in his remarks, our pipeline of opportunities has grown significantly and provides us with even more confidence in our growth prospects. Pipeline now sits at about $3.5 billion, double what we had a year ago, driven by expansion of our anchor accounts due to the successes we've had to date and new customers that we've started to engage with. Our definition of pipeline is two components. First, the total opportunity we and our anchor customers envision our technology being rolled out throughout their networks over the long term and specific project opportunities with non-anchor customers with whom we've had active dialogue. -- with $105 million in backlog and significant pipeline we're entering 2022 in a great position as we continue our growth journey. We have consistently communicated that both orders and revenue will be back-end loaded in 2021 and that's exactly what happened. The majority of our orders and 85% of our revenue occurred in the second half of 2021, we expect a similar pattern to occur in '22. We will continue to update you on our progress with respect to orders and backlog periodically throughout the year. On to revenues, revenues for the fourth quarter and for the full year of '21 were $23.6 million and $50.9 million, respectively, slightly above the guidance we provided on our last call. Revenue in the fourth quarter of '21 represents a 556% increase over the same period in 2020 and revenue for all of '21 represents an increase of 46% over 2020. Turning to other operational metrics. Gross margin for the year was negative 16% which is somewhat below our expectations. We understand the drivers of the margin issue and it's temporary isolated and fixed, though the corrections applied to new contracts and not those are already signed. This means that 2022 gross margin will be impacted as well and margins will be slightly negative for the year which is disappointing. The margin issue was caused by cost overruns that, importantly, are not related to our core technology but rather pertain to installation costs and other ancillary equipment and are associated with one of our product families which is new and being used in several large-scale projects. We have identified the sources of the margin issue and have subsequently fixed the issue for future orders which include price increases and specific cost reductions. These changes will result in substantially improved margins for these systems to be deployed in 2023 and beyond. Most importantly, we remain confident in our ability to achieve our run rate operating metrics of approximately 50% gross margins in the long term. This will be achieved through increased scale and execution on our cost reduction road maps. Moving to operating expenses, 2021 was a year of significant investment. In particular, we made investments in our go-to-market and engineering teams to best position us to capitalize on our massive $280 billion addressable market. Total operating expenses were about $37 million in the fourth quarter and $156 million for the year on a GAAP basis. Stock-based compensation included in operating expenses were $6.4 million and $49.8 million for the fourth quarter and full year of '21, respectively. Our operating expects to increase substantially over 2020, driven primarily by increases in headcount and engineering program spending. For perspective, we increased our head count by over 50% during 2021 to gear for our growth, including senior leaders in sales, engineering and operations. We believe we have a good organizational base to support the growth of our business. And for 2022, we expect to moderate our spending as we continue to improve our internal processes, execute our specific deployment plans, leverage our partnerships and focus our engineering efforts. We expect operating expenses, excluding stock-based compensation to be about $25 million to $30 million per quarter and stock-based compensation expense will be approximately $6 million to $8 million per quarter. Adjusted EBITDA which is defined as loss from operations adjusted primarily for depreciation, stock-based compensation expense and changes in the fair value warrants, was negative $33.8 million for the fourth quarter of '21 and negative $111.8 million for the year. A reconciliation of our net loss to adjusted EBITDA is included in our press release. Moving to the balance sheet. We ended the year in a solid cash position with over $171 million. Capital spending for the year was approximately $4 million. Looking ahead, on the strength of our $105 million in backlog, we expect full year 2022 revenue to be approximately $90 million. We expect that our anchor customers will drive a large part of our revenue growth over the next few years and believe the opportunity with them can be measured in the billions of dollars over time. While most of our 2022 full year revenue is in backlog, the timing of converting backlog into revenue is being impacted by delays in customer schedules and they're lingering global supply chain issues. We expect our 2022 revenues to be heavily weighted towards the second half, similar to how it was realized in 2021. First quarter revenue is expected to be very light. Finally, to reiterate some of the key points we've talked about, 2021 was a great year for us and we entered 2022 in a very strong position. tailwinds driving the need for automation are as prevalent as ever. Our customers love our technology, driven by the follow-on orders we've received, particularly from our anchor customers and they want more. And we have a strong backlog, we've doubled our pipeline, providing us with even greater conviction about our long-term growth prospects. And now operator, we're ready to turn it over for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Greg Palm with Craig-Hallum. Your line is open.
Greg Palm: Yes, good morning. Thanks for taking the questions and congrats on the progression to date here.
Tom Wagner: Thanks, Greg.
Mark Fidler: Thanks, Greg.
Greg Palm: I want to start with pipeline. That's a pretty healthy increase. Can you say how much of that was driven by anchor versus non-anchor customers?
Tom Wagner: Sure, Greg. Actually, Mark -- I'm going to steal the numbers in front of you. Greg normally, Steve Johnson, who you've met would respond to this is our go-to-market person. He is busy staffing the MODEX trade show which is a fantastic opportunity for us and we have lots going on there. Mark, I'm going to ask you to put on that hat today and answer the question, please.
Mark Fidler: Sure. So we've doubled our pipeline really based on the amount of successes that we've had to date, particularly with anchor customers but also on the new customer front. About a year ago, when we were talking about pipeline -- we were talking about a $1.7 billion pipeline, $1.3 billion of that was from anchor customers. The rest was from new customers. And it's really been across the board, right? So now it's about $2.5 billion with our anchors. And this is, again, really based on how we're collectively viewing how our technology could be rolled out throughout their networks. And as we've built more experience with them, we've got deep tie-ins with the organizations from the top C-suite down to sort of the operational level. We're just seeing more and more opportunity where we can deploy our technology, both of us combined throughout their network. So a tremendous amount of engagement there. And then likewise, on the new customer front, again, our go-to-market teams have been working very hard. They've gained more experience under their belt. Most of our staff now has been here for at least a year and these are long sales cycles. So gaining a lot of traction with the new customers as well. We're in active dialogues with almost 200 unique prospects. So just a tremendous amount of engagement across the board.
Greg Palm: Got it. That's helpful. And that increase specifically from the anchor customers, would you still characterize that as a five year time line? I think that's how you expressed things before. But I guess more importantly, is the increase driven by maybe an expansion of the current solutions? Or is the maybe more adoption from some of the new offerings that you've talked about? And again, this is specific to the anchor customers?
Tom Wagner: Yes. So it is five-ish sort of year time line; that's still the case. It's a combination of the existing products that we've had. And as Tom talked about, we introduced four new products during the second part of last year. We're seeing broad interest across the verticals, right? So some of our systems that are going in one vertical can also be used in other verticals as well and our anchor customers are seeing that. So those are kind of the things that we're seeing with the anchors.
Greg Palm: And last question as it relates to this, any anecdotal commentary from those anchor customers in terms of time line adoption, whether they're seeing an ROI validation that's either outperforming or underperforming relative expectations? Just kind of curious what you're hearing from them.
Tom Wagner: Yes. ROI is clear that leads to the repeat orders and we have repeat orders. And so that is a part of the equation that is all positive as the ROI. Greg, there were too facets to your question. What was the other facet?
Greg Palm: Well, I'm just trying to get a sense for -- relative to your -- or your customers' expectations from a year ago, do you get the sense that any are maybe shifting some of that adoption up for whatever reason? And I guess it was specifically pertaining to maybe validation of an ROI use case?
Tom Wagner: Well, I wouldn't say necessarily they're shifting anything but rather, I think they're looking broader, right and really looking at, look, okay, they validated the ROIs. They can see where this can go throughout their networks. They're thinking big, right? They're not thinking sort of just chipping away at automation strategies, particularly and we're a big part of that. So if these guys are thinking big, it takes some time to plan. So the time horizons are still the same, five-ish years. But to the extent that we see opportunity to accelerate with them, of course, we're going to accommodate that.
Greg Palm: Okay.
Tom Wagner: Clarity on the -- go ahead Greg.
Greg Palm: No, that makes sense. I was just going to say last one for me. I think, Tom, you had mentioned something around the along lines of large-scale commercial arrangements. What does that exactly mean? What is sort of that change versus how you're currently selling things today?
Tom Wagner: Yes, that's great. So Greg, first, very exciting, right? Very exciting. The second, the concept behind that, just to add a few words on the concept is -- so what you've seen to date and you have seen it in our already announcements of orders, you've seen folks put systems in and then rapidly order tens of millions more, sometimes across multiple orders. And when we say a long-term strategic agreement what we're referring to is a rollout plan over a spans of years as a goal so that we can say with more determinism, this is what 2024 might look like or 2023 and so forth. And so those are things that we're actively working on.
Greg Palm: Understood. Okay. I'll leave it there. Thanks and good luck.
Tom Wagner: Thanks you, sir.
Operator: Our next question comes from the line of John Walsh with Credit Suisse. Your line is open.
John Walsh: Hi, good morning everyone and congrats on finishing the year while -- appreciate all the color around the pipeline as well. Thought maybe we could start with a discussion around kind of the gross profit margin expectations. And as you're going to see more revenue in the model next year, if we should be thinking gross profit margin positive and kind of maybe what order of magnitude as you get more revenue and you get past some of those issues you talked about earlier on the call.
Tom Wagner: Sure. So yes, so as we mentioned on the call, we do expect that overall gross margins for the year will be slightly negative because of the issues that we mostly talked about. We do expect that we will be overall positive gross margin in 2023 and beyond. And the good news is that we've identified all the issues that were causing those, the margin issues and we believe we fixed them so that we're much better poised now for substantially improved margins for 2023.
John Walsh: No, that's super helpful. And then I guess a question we've gotten some folks from folks and I'm sure we'll see more disclosure, once filings come out, we just didn't see them yet. But just can you talk to the sequential change in the share count and how we should think about the share count going forward? What kind of already in there and what still would not be yet hitting the diluted share count?
Mark Fidler: So when you look at Q3, the weighted -- in the P&L, the weighted average shares, that's going to be -- what impacted that was, if you recall, we closed our merger in late July, right? So in late July which is in Q3, all of the pipe shares came on. So on a weighted average basis, you didn't have all those shares outstanding for the whole quarter. But for Q4, you did. So, if you just looked at the total number of common shares that were outstanding as of the end of Q3 versus the end of Q4, there was only a 1% difference. So going forward, the numbers that you saw at the end of Q4 are more representative of the number of shares that will be outstanding for 2022, say for whatever equity awards we issued to employees.
John Walsh: Great. Super helpful. And then maybe just one more around cash. How should we think about cash in 2022? And then, I guess, I mean, incredible pipeline, $3.5 billion, thought that was really bullish. Do you have enough kind of cash on hand to go after that, even if it is over a five year opportunity, maybe how much of that CapEx for that is kind of customer -- buying this as a piece of capital equipment versus you using your own cash to fund the project at all. Would just love to get more color around kind of cash uses and kind of outflow expectations.
Tom Wagner: Sure. So again, we entered this year with $171 million in cash -- so pretty strong position, we expect our burn this year will be $10 million to $11 million per month. That's all in. And we do expect that we'll be raising funds in the next 12 months in order to fully fund our complete growth plan and we're confident that we'll be able to do so when that time comes. And to break down that cash burn, most of it is really to fund operations. We're really only anticipating about $5 million worth of CapEx for 2022.
John Walsh: Great. I appreciate you taking the questions and look forward to seeing the announcements as you execute on that pipeline. Thanks for -- again, for the time today.
Tom Wagner: Thanks, John.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Andrew Obin with Bank of America.
Andrew Obin: Well, yes, as I said, everybody echoed it seems like there's some exciting news coming our way, so can't wait, should be good. A sole question, just as we think about the forecast that you had in your Investor Day presentation back in July in terms of revenue versus where we are guiding right now. I mean clearly, it seems that bottlenecks are an issue, access to customer facilities is an issue. Could you just put -- just in terms of buckets, it seems there's like $30 million of delta versus you thought you were going to be in July versus where we are. Could you just sort of put biggest buckets as to what the delta is and also ability to catch up with sort of the original plan as time goes on. Thank you.
Tom Wagner: Sure. So really what we're dealing with here is really just a timing issue. And we had $105 million of backlog coming into this year. As you said, some of the timing issues, particularly with deployment schedules on our customer side, really didn't have much to do with us. For example, if a mezzanine had to be built at the customer site and the customer is dealing with some supply chain issues or some construction delays that impacts our deployment schedule. And so we experienced some of that in '21 as well as for this year as well. And that's really kind of what's driving some of this. But look, all that $105 million of backlog is going to be realized. It's the timing that can be impacted by some of the things that are not in control. And based on what we talked about with our backlog, with the pipeline, we have even greater conviction now of our ability to scale to be a $1 billion company. And so we're -- we've got a tremendous amount of conviction in that. And really, what we're doing in the short term here is really this timing issue with respect to some of the deployment schedules on the customer side.
Andrew Obin: So just a follow-up question on that. When we were doing our channel checks and due diligence, I think one of the commentaries that consistently came back is how "commercial" you guys are and how customer focused you are. But also it seems the world is changing and our recent channel checks just indicate that you're hardly unique in terms of sort of facing difficulties with logistics and supply chain. What can you do? What's in your power? And what sort of corrective measures have you taken? Or do you think you can take to sort of deal with the fact that it's a very volatile world, the supply chain, they're still missed up across the globe. What are the key bottlenecks that need to be addressed on your side? I think everybody appreciates the world right if I catch 22, the more screwed-up the world is the more they need you but makes it hard to sort of hit the targets near term. So just if you could just walk us through that.
Tom Wagner: Sure. So to date, we have not had any material direct impact from all these global supply chain issues. We've had adequate lead times, adequate planning times in order for us to procure our components, line up our vendors in order to be able to deliver the solutions when we expect it to deliver them. Really where the issue has come was on the customer side with respect to, in some cases, they have been somewhat disrupted with the supply chain issues. The example that I just provided was a perfect example of that, where there was some construction that they had to do. They couldn't get some of the components on time. Some of their construction schedules got pushed off. And we just have to accommodate that and meaning that our schedule gets pushed out with their schedule. Now to the extent that there may be some things that we can work with them on and try to help use schedules in or find components. In fact, one of the key things that we've really started to really take advantage of are the global relationships that we have with these systems integrators like Swisslog, who they themselves have a lot of supply chain cloud as well and planning behind there and supply chain planning behind their organization. The more that we can leverage those partnerships, I think, just helps the overall situation with us, with our partners and with our customers. And we've been looking -- doing a lot of planning from that perspective as well.
Andrew Obin: I put myself on mute. Just a last clarification in terms of gross margin. Do you think you would be exiting next year at positive gross margin? Or do we need to wait until '23 to see a quarter was a positive gross margin?
Tom Wagner: You should probably really expect that 23 just because our -- as we mentioned, our revenues are going to be, just like '21, they're going to be very heavily weighted in the second half.
Andrew Obin: Fantastic. Thanks so much.
Mark Fidler: Great. Thank you.
Operator: Thank you. I'm showing no further questions in the queue. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.